Operator: Greetings, and welcome to the Aqua Metals Q3 2025 Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press 0 on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rob Fink, Investor Relations. Thank you, Rob. You may begin.
Rob Fink: Thank you, operator, and thank you, everybody, for joining. Earlier today, Aqua Metals issued a press release providing an operational update and discussing financial results for the third quarter ended September 30, 2025. This release is available on the Investor Relations section of the company's website at aquametals.com. Hosting the call today are Stephen Cotton, President and Chief Executive Officer, and Eric West, Chief Financial Officer. Before we begin, I would like to remind participants that during this call, management will be making forward-looking statements. Please refer to the company's report on Form 10-Q that was filed today, November 12, for a summary of the forward-looking statements and the risks, uncertainties, and other factors that could cause actual results to differ materially from those forward-looking statements. Aqua Metals cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur, except as required by law. As a reminder, after the formal remarks, we'll be taking questions. We'll take as many questions as we can fit in and as time is allowed. And with that, I'd like to turn the call over to Stephen Cotton. Stephen, the call is yours.
Stephen Cotton: Thanks, everyone, and welcome to our Q3 update. This past quarter and the subsequent weeks represent a meaningful strengthening of Aqua Metals. We advanced our technology, expanded commercial pathways across both battery and emerging critical mineral supply chains, and strengthened our balance sheet with $17.1 million in new funding. I want to start there. Combined with our disciplined operating approach, this capital provides Aqua Metals multiple quarters of strategic runway and flexibility. Eric will speak more to the details, but it's important to note this was a proactive raise, not a reactive one. Capital raised from a position of strength and strategic momentum. We brought in capital proactively to accelerate the plan and strengthen our strategic footing. And we believe that decision positions us exceptionally well as we move towards full commercialization. On the technology front, Q3 marked continued validation of the AquaRefining platform. We successfully processed one metric ton of lithium iron phosphate or LFP cathode scrap at pilot scale, producing battery-grade lithium carbonate validated by OEM and third-party testing. To our knowledge, Aqua Metals remains the only company to demonstrate an economically viable path for producing battery-grade lithium carbonate by recycling from LFP at a commercially relevant scale. As the industry evolves with both NMC and LFP chemistries, our feedstock flexible refining technology positions us for the next phase of market demand. We also saw the strategic network effects of our platform really beginning to compound. Our MOU agreements with Moby Robotics and Impossible Metals extend the AquaRefining platform into deep-sea mineral feedstocks rich in nickel, cobalt, manganese, and rare earth elements. While our LOI agreement with Westwind Elements advances discussions for the potential supply of 500 to 1,000 metric tons, which is approximately $12 million of recycled nickel carbonate annually based on today's nickel prices. Together, these initiatives reinforce Aqua Metals' expanding role in sustainable domestic critical mineral supply. These aren't pivots. They're deliberate extensions of our core technology into adjacent markets, reinforcing our role in securing strategic metals for the energy transition. We also regained compliance with Nasdaq listing requirements, strengthening our market position as we advance toward commercial operations. And continued active industry engagement through events such as the battery show and the battery recycling workshop in Kuzu, China. Throughout, we remain disciplined. Aqua Metals has always taken a long-term view. Partnering with the right stakeholders, deploying capital efficiently, and building a platform designed to scale rationally and sustainably. I'm really proud of how consistently the team has delivered on that balanced approach. Executing near-term priorities while keeping a clear focus on long-term creation. Looking ahead, we see a consolidating industry centering around a smaller number of technically validated, financially strong recyclers with proven solutions. That environment plays to our strengths. While we don't front-run announcements, we continue to evaluate compelling opportunities. And we expect to remain selectively active as the market evolves. This is a dynamic period in energy and critical mineral supply chains. And we intend to help shape what comes next from a position of strength. And to our shareholders, partners, and employees, thank you all for your continued support. Our mission remains clear. Our strategy is intact, and our momentum is building at a pivotal moment for the clean energy supply chain. With that, I'll turn it over to Eric to review the financials.
Eric West: Thanks, Stephen. I'll provide an overview of our financial results and current balance sheet position. We ended the quarter with $2.9 million in cash and cash equivalents, up from $1.9 million at the end of Q2. During the quarter, we raised approximately $4.1 million through our ATM and equity line program. Maintaining flexibility while supporting pilot operations and commercial planning activities. Subsequent to the quarter end, we closed a $13 million investment from a leading institutional investor, bringing total recent capital raised to over $17 million. With this funding, we now have multiple quarters of operating runway and the resources needed to complete engineering and permitting work as we finalize site selection for our first commercial-scale AquaRefining facility. Now I'm moving to highlight a few items on the income statement. Total operating costs were approximately $2.7 million for the quarter compared to $3 million in the prior year period. The decrease reflects continued cost discipline while maintaining key technical and commercial development programs. General and administrative expense was approximately $2.1 million, down from $2.5 million last year, and R&D expense totaled about $600,000, which is consistent with our continued process improvement and expanding our suite of off-take material options. We reported a net loss of $2.8 million for the quarter or negative $1.52 per share compared to a net loss of $4.7 million or negative $6.87 per share in 2024. Year-to-date net loss improved to $12.3 million or negative $7.41 per share from $19.2 million or negative $27.63 per share in the same period last year. A reduction of more than one-third reflecting lower operating expense and disciplined management of overhead. Operating cash used year-to-date was approximately $7.2 million compared to $10.4 million in the same period last year. Looking ahead, as Stephen outlined, we anticipate a modest increase in cash use as we ramp R&D process optimization and site readiness efforts in support of commercialization. We will continue to manage spending with discipline and ensure that every dollar invested advances our strategic and technical objectives. Our focus remains on maintaining liquidity, aligning investment with clear milestones, and advancing the commercialization plan efficiently. With the strengthened balance sheet, disciplined cost structure, and growing technical momentum, Aqua Metals enters 2026 from a position of stability and focus. That concludes my prepared remarks. I will now turn the call back to the moderator for Q&A.
Rob Fink: Thank you.
Operator: We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. One moment, please, while we poll for questions. Our first question comes from the line of Mickey Legg with The Benchmark Company. Please proceed.
Mickey Legg: Hey, guys. Thanks for taking my questions, and congrats on the quarter. I'd like to start with maybe what are a few of the biggest gaining factors to securing first build and if you were able to clear those, how long, you know, do you expect to get the commissioning from there? Thanks.
Stephen Cotton: Hey, Mickey. Good to hear your voice as always, and thanks for the question. Really, I think what you're asking is with a stronger cash position, why not begin building the ARC commercial facility now? And, you know, ask me how I know that's a great question. The answer is really simple. Discipline. While it may be tempting to accelerate the construction immediately as we have seen several players attempt in the past, prior market conditions have informed our philosophy on a go forward, which is really build once and build right. And build when the demand is contracted and not when we would build on speculation, as the industry has done in the past. We're really sequencing the ARC launch to align with market timing and feedstock certainty and off-take and really being fully ready from a capital perspective. So this approach will ensure that we avoid unnecessary dilution and maintain leverage and we can really execute that build from a position of confidence. Hope that answers your question.
Mickey Legg: Yeah. Yeah. It does. I was more talking about, you know, securing that partnership so that you feel comfortable with the timing of the build? What's keeping the partnership discussions, how are those going? What, you know, any color on those and how they're progressing? Maybe that would be helpful.
Stephen Cotton: Yeah. So on the OEMs and commercial partnerships, I would say interest is really increasing meaningfully. And our pilot scale run that we just announced of the one metric ton of LFP or lithium iron phosphate cathode scrap producing that battery-grade lithium carbonate has even further resonated on the commercial side and the commercial developments with OEMs and other ecosystem potential partners. We've really seen growing inbound interest, I would say deeper engagement from existing and prospective partners. And continued validation of our results really all the while while we're utilizing the strength of our team and what I would characterize as our mature innovation center right here in Tahoe, Reno, with what we think is North America's most sophisticated and proven lab and bench and full-blown pilot operation. So we expect that interest to continue as we continue to move through commercialization milestones. And a lot of that is about product qualification and building those relationships. And we also think that our recently strengthened balance sheet certainly will enhance the additional credibility that we have in those expect to be able to report some things soon. But as I said earlier, it's kind of a condition precedent for us to feel very good about the commercial relationships to be one of the key ingredients to justify the capital spend on a commercial-sized build.
Mickey Legg: Got it. Got it. Okay. I'll keep an eye out for more info on that front as it's released. Maybe shifting gears a little bit, to the feedstock front, you mentioned that before wanting to feel comfortable with having that secured before you do anything too committal. Maybe could you just talk about your comfortability there specifically on the black mass front and how secure you feel about locking that down in the near to near term, you know, given a pretty volatile macro.
Stephen Cotton: So, yeah, the feedstock, a, there's plenty of it. But, b, what's really happening to that feedstock today with the preprocessors, they collect the batteries, and pre you know, de-energize and crush them and produce the black mass, which is the input to our process. Those materials are being sent to commercial scale refiners that already exist in the Asia Pac region. And so, the metals, the payables on those black mass, are high because those entities out there have large facilities that they need to feed in order to keep them moving economically. Whereas here in the US, and frankly, all of the Americas, let alone North America, there is currently zero commercial scale refining capacity. And so what that means is that feedstock needs to get diverted to the commercial facilities that have the refining capacity here. And that's the classic chicken and the egg. Do you build the facility on speculation? And then go for the feedstock, or do you secure the feedstock and then build the facility suit? We've chosen the latter path. And so we're not concerned about being able to get the feedstock. And we also because of the economics of our process, are very confident in our ability to process that black mass at the same payables that are being sold to the folks in Asia. But we need to get those contracts in a place where we feel they're truly bankable and another key ingredient of that build process. But we're making great progress on that, and we feel like we're getting closer and closer while in the meantime we strengthen the balance sheet.
Mickey Legg: Okay. Very helpful. Last one here. Can you give us maybe just a little more color on the pathway for the nickel product and maybe, you know, just a runway there, saw the LOI with Westwind, but that's not the delivery until 2027. So maybe just more near term, what sort of demand you're seeing on that front? Any particular direction that demand is trending? Just curious.
Stephen Cotton: Yes, sure. So, you mentioned specifically nickel and the agreement we have with Westwind. And that is exciting because we believe that our partnership that we're developing with Westwind will produce the first U.S. nickel production and refinery in the US, in a long time. And so that really creates a great opportunity not an overnight sensation. This is a longer-term view on the nickel for that. That's also an example of nickel supply not necessarily going directly to the battery supply chain. One of the things that we think is special and unique about Aqua Metals is that we can produce nickel as an example, and cobalt in metal form, to go into the metals markets in general because currently in the US, there are no significant PCAM and CAM refineries. So those metals need to be able to come out of a process like ours and get into the hands of players like a Westwind, that can produce those materials. Additionally, I would say another longer-term thing that we are working on is the deep-sea mining where we can go after some other critical minerals, including more manganese and additional elements including rare earths. So we really see those relationships as an expansion of our opportunity and not a deviation from the core mission that we have. So the still nearer-term play is to take the black mass produce the lithium carbonate and the nickel and the cobalt in forms that can get into the supply chain here in the US, be it a battery supply chain and or otherwise.
Mickey Legg: Okay. Great. That's all for me. Thanks, and congrats again.
Rob Fink: Thanks. Great questions.
Mickey Legg: Thank you.
Operator: I would like to turn the call back to Rob to facilitate questions that were submitted online.
Rob Fink: Thank you. And Stephen, Eric, we've received a number of questions from investors ahead of today's call. I'll be reading those on behalf of those who submitted them. To keep the call flowing smoothly, we've consolidated some similar topics and combined related questions where it was appropriate. So our first question is, can you expand on your financial position and the runway that you see?
Eric West: Absolutely. The most important point for investors to understand is that Aqua Metals is now operating from a position of strength and not necessity. With the $17 million of capital infusion that we received, in our continued disciplined operating model, we secured multiple quarters of meaningful financial runway. The funding also supports our ongoing engineering permitting and ultimately, the site selection for our first commercial-scale facility. This gives us the ability to make measured choices, continued execution upon our commercialization plan, and pursuing additional strategic initiatives with confidence and credibility. The capital infusion also sends a strong signal of external confidence in the company and our vision. We raise proactively and not reactively, which gives us the flexibility to sequence our steps responsibly. So the main highlight here is really from a position of stability, momentum, and control.
Rob Fink: Awesome. Thank you. How do you guys view the current consolidation that's happening in the battery recycling industry today?
Stephen Cotton: Yeah, Rob. This is Stephen. I'll take that one. So what we are seeing now is what I would characterize as a natural phase in the evolution of the new industrial category. The early entrants proved the need and now the market is really selecting for technologies, business models, and just as importantly, capital structures capable of scaling profitability with commercial size facilities. Some really good assets are becoming available, and we do expect that trend to continue. So Aqua Metals, we feel, is very well positioned with our proven technology, the discipline that we've been talking about throughout this call, the continued Nasdaq listing, and the strength of the balance sheet. We're not gonna chase scale for scale's sake. And we really expect the market to center on a few technically validated financially prudent operators and we intend to be one of them. And as the industry consolidation enters its later stages, we see it a bit like the finals at the Olympics, let's say. We've earned our lane, and we really believe that we're positioned to medal.
Rob Fink: Thank you. That is helpful. You guys didn't mention the specific site for your first commercial facility. Can you provide an update on where you are the timeline, and some more information there?
Stephen Cotton: Yeah. Lots of activity on that front. We continue to make strong progress, I would say, on our site evaluation process. And we've advanced diligence on specific key locations, and that includes things like engineering and permitting reviews, and utility access studies, so we can get the power and all the other utility aspects that we need for our facility. This includes alignment with the related developing strategic partners which is key to that whole process, that we don't just plop a facility down the middle of nowhere, that we find the right partner where we have synergies. So we're solving for that as well. And we aim to bring forward the most capital efficient and strategically advantageous path. And we do expect that we'll be able to provide more updates as early as this quarter. Our priority is to launch the commercial facility at that right location or even locations, sequenced appropriately with the right partner or partners under the right market conditions. And it's aligning those things that make the most sense. And I believe that our continued disciplined approach does put us in the best position for long-term success and really execution certainty.
Rob Fink: Right. And thank you for that. And to round out here with our final question, should investors expect more business development updates in the near term?
Stephen Cotton: Yeah. Our philosophy remains consistent. We'll only announce when we can provide clear visibility and confidence. We'll report the news more than we'll forecast the weather. But that said, we are actively advancing the multiple initiatives that we've been talking about both in that commercial and strategic partnership side. And we do expect to share those additional developments as they mature, as I said earlier, potentially as early as this quarter. This is definitely an exciting period for us, and we are executing across multiple fronts. And our mandate is that we keep moving forward steadily and ensuring that each step that we take builds towards our mission of long-term value creation and for platform scale.
Rob Fink: Thank you.
Operator: There are no further questions at this time. I'd like to pass the call back over to Stephen for any closing remarks.
Stephen Cotton: Well, thank you, everybody, for listening in. On our report for what we think was a very productive and exciting quarter with great prospects for the future for Aqua Metals and our shareholders, and we look forward to keeping everybody updated as we continue to make progress as we always promise to do. And we'll look forward to chatting with everybody soon. Thanks for your attendance and support of the company.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.